Eduardo Galvan: In a world that's always on transformation, CI&T Inc is your go-to tech transformation specialist, helping you navigate opportunities and co-create solutions at every step of your technology journey. We get things done quickly, efficiently, and at scale. By combining the best human expertise with the power of our very own AI platform, CI&T Flow, we grow and boost your business value. Our mission? To design and develop tech solutions that drive. When it comes to navigating change, we turn challenges into possibilities, leading the way to a brighter future. We are right by your side, innovating together, and pushing you forward. That's what we do. Our deep know-how covers the entire tech development cycle, from strategy to AI, customer experience, software development, cloud, and data services. Navigate technology change with CI&T Inc to reach new heights. Navigate change with CI&T Inc.
Eduardo Galvan: Good morning. Welcome to CI&T Inc earnings call for 2025. I am Eduardo Galvan, Investor Relations Director at CI&T Inc. Joining me on today's call are Cesar Gon, Founder and CEO; Bruno Guicardi, Founder and President for North America and Europe; and Stanley Rodrigues, our CFO. This event is being recorded, and all participants will be in a listen-only mode during the company's presentation. After that, there will be a Q&A session. If you would like to submit a question, please send it via email to investors@cint.com. The presentation is available on the company's Investor Relations website, and the replay will be available shortly after the event is concluded. Some of the matters we will discuss on this call, including our expected business outlook, are forward-looking statements. They are subject to known and unknown risks and uncertainties, which could cause actual results to differ from those expressed on this call. We caution you not to place undue reliance on these forward-looking statements as they are valid only as of the date when made. During this presentation, we will comment on certain non-IFRS financial measures to evaluate our business. Please refer to the reconciliation tables of non-IFRS measures in the earnings release for more details. Our agenda for today includes an overview of our quarterly highlights, followed by some of our business cases. We will then talk about our people and our financial results. At this time, I will pass it on to Cesar Gon to begin our presentation. Cesar, please.
Cesar Gon: Thank you, Galvan. Good day, everyone. As we celebrate thirty years, I would like to highlight our winning operating model built on four pillars: It starts with three decades of experience shaping a world-class talent ground. Our teams use this expertise to co-create AI agents and digital solutions that solve real client problems. We deployed this combination of talent, proprietary technology, and methodology using a unique delivery model to win and expand clients. With every engagement, the learning accelerates, expanding our knowledge, refining our tools, and propelling our growth. And we are amplifying this flywheel by dogfooding AI across our operations. As we look back, it's remarkable how CI&T Inc has evolved through each major tech shift. From the early Internet and e-commerce to mobile, to cloud, and now artificial intelligence. At every stage, we've helped clients adapt and turn technology into business impact. Today, the same spirit continues with CI&T Flow, our AI management system. With an unprecedented level of adoption, we are combining leading large language models with our proprietary tools and data to create thousands of AI agents and prepare our clients for the inevitable agentic world. Across the industry, there is still a gap between AI ambition and real results. Most enterprises have not yet turned AI investments into meaningful impact. A recent MIT study titled the GenAI divide highlighted that 95% of GenAI projects are failing to deliver measurable financial results. That gap created strong demand for partners who can turn experimentation into scalable business value. This is where CI&T Inc stands. Built to help the 5% who are making AI work and to expand that group. It's a challenge tailor-made for our model and a major opportunity ahead. Now let me turn to our quarterly earnings highlights. Revenue reached another historical record of $127.3 million in the third quarter of 2025, representing 12.1% organic revenue growth at constant currency year over year, above our guidance. This also reflects a 13.4% year-over-year increase in reported revenue. Our adjusted EBITDA margin was 18.5%, showing healthy and sustainable profitability. Finally, our adjusted profit margin was 8.9%. This quarter marks CI&T Inc's fourth consecutive quarter of double-digit organic revenue growth. Our AI strategy is effectively bridging the GenAI divide for our clients, transforming their AI investments into tangible efficiencies and high-impact solutions. These AI-powered offerings have expanded our sales pipeline, increased our wallet share with clients, and reinforced our role as a key partner in their digital and AI transformation journeys. Now let's explore some inspiring client stories that showcase the diverse and powerful applications of AI.
Bruno Guicardi: Ford partnered with CI&T Inc to expand its Wings platform across South America. Using CI&T Flow, our AI management system, the team analyzed 4,800 minutes of meetings and 50,000 lines of code, cutting delivery time by two months. Rollout in Argentina was completed in just ten months. Beyond speed, AI enhanced quality and accuracy, transforming how the project was delivered and reflecting local market needs. This success shows how deep business knowledge and advanced technology can create real impact at scale.
Stanley Rodrigues: CI&T Inc is supporting Terranist Energy, a renewable energy company in Singapore, to enhance the technology behind its solar operations. We are modernizing their legacy systems, building a new Azure cloud platform, and providing real-time monitoring for continuous performance. Together, we are ensuring clean energy runs smarter, faster, and more efficiently, powered by data and innovation.
Bruno Guicardi: Porto adopted CI&T Flow, our AI management system that enhances software development. In just a few weeks, development teams became 38% more efficient, reduced task time by 18%, and fixed 79 legacy code issues in one day. Test coverage grew across the process, increasing both quality and confidence. Together, Porto and CI&T Inc show how AI can simplify and strengthen digital transformation.
Lucas Lincoln Morison: At CMG Financial, we are rebuilding how mortgage technology gets built. And that requires a fundamental shift in mindset. The traditional model is about output: how many developers, how many hours, lines of code? We need partners focused on outcomes: what actually gets delivered, what business value gets created. CI&T Inc understood that before we even had to explain it. They are not selling us seats; they are delivering results. And that's the kind of partner you need when you are trying to transform, not just maintain. First, they bring us capabilities we do not have, both emerging technologies like their FlowAI platform, deep financial services expertise, and real financial services experience across domestic and international markets. The model that worked in 2023 will not work in 2025. We need partners who are as comfortable with AI-generated code as human-written code, who measure success by outcomes, not hours, and can help us figure out what right-sized teams can look like in an AI-first world. CI&T Inc has shown us they can make that shift. Now, it's about scaling it.
Bruno Guicardi: The New York Stock Exchange was packed on October 15 for our biggest Impact AI event yet. Leaders from top global brands shared how AI is driving real results, from scaling beyond pilots to reimagining customer experience. AI is not the future; it's the now. And the ideas born here will keep shaping enterprise transformation. Everyone's talking about artificial intelligence. We asked a different question: who's creating real impact? Together with Funda Sound, Dom Cabral, CI&T Inc launched the AI Lighthouse Awards, Brazil's first index measuring how companies use AI responsibly and at scale. It's more than an award; it's a benchmark guiding organizations toward ethical, human-centered innovation. Backed by data, research, and voice from Brazil's top business leaders, the initiative sparked nationwide coverage, reaching over 600,000 people through Forbes and other top media, and positioned CI&T Inc as a leading voice in Brazil's AI transformation.
Eduardo Galvan: Together with the Costa Foundation, CI&T Inc partnered in the charity bike ride 2025 across Wales, turning every climb into a chance to make a difference.
Gustavo Farias: Each ride helps children in coffee-growing communities get closer to education, safety, and opportunity. In August, CI&T Inc was an official sponsor of the Lean Summit 2025. On the main stage, CEO Cesar Gon joined Jose Roberto Ferro to discuss what truly transforms organizations: practice. The event also marked the launch of the Portuguese edition of Managing on Purpose, featuring a forward written by Cesar. We joined the Gartner Summit in London.
Bruno Guicardi: Where leaders from around the world came together to talk about what's next in tech. On stage, our team shared how CI&T Inc is helping companies turn AI into real business value. With CI&T Flow, our AI management system, we showed how one of our clients in banking unlocked over 200,000 hours in just nine months using AI across their process. Because when AI connects every step of the journey, it stops being a tool and starts driving real transformation.
Cesar Gon: Now I would like to invite Bruno to provide insights into our strategy and the evolution of our offering. Thank you, Cesar. It's a pleasure to be here.
Bruno Guicardi: We ended the quarter with more than 7,800 scientists, a strong 16.3% growth year over year, ensuring we have the talent to meet the growing demands of our clients. Our people strategy begins with an advanced hiring process. We have built a systematic engine to attract and onboard the right people. It begins with our partnerships with top technical universities, which provide a large high-quality pipeline of young talent. Simultaneously, our reputation as a next-generation technology firm committed to a career-long development makes us a desirable destination for experienced professionals. Finally, we utilize an AI-enabled screening process to quickly identify the best candidates, and we prioritize filling open positions with our own internal talent whenever possible. This creates a robust and efficient hiring model. The direct result of our hiring process is the ability to scale our workforce quickly, supporting our revenue pipeline. Our robust training and development programs drive internal employee satisfaction and retention, leading to a healthy voluntary attrition rate of 10.9%. Now, let me discuss our delivery model, which is central to delivering AI value for our clients. Before extending these capabilities externally, we ensured mastery of AI internally, developing a systematic playbook for driving AI adoption. We have achieved an impressive 85% adoption rate of AI tools across our entire organization. This highlights our capability to effectively integrate new technology at scale. This widespread adoption has significantly fueled the growth of CI&T Flow. Over the past eighteen months, the number of agents our teams have created and are using to deliver value to our clients has increased 15-fold. Today, our system operates at substantial scale, with 4,700 active agents executing tasks across our business, from simple automations to highly complex workflows. Leveraging our extensive network of AI agents, we've developed compelling solutions that address our clients' critical needs. To give you a concrete example, our Data Modernization Studio features a set of AI agents designed to streamline and modernize data pipelines. This end-to-end approach encompasses data assessment, quality checks, and script generation, ensuring seamless integration into modern data architectures. Our solution significantly automates the transformation of legacy systems into advanced data platforms. By utilizing GenAI, we generate code, create technical documentation, and produce visual data lineage diagrams, therefore significantly reducing manual effort and risk. Through our Data Modernization Fast Track, we convert isolated data islands into comprehensive data intelligence systems, expediting the process from assessment to post-migration. This approach overcomes the time and resource challenges of traditional migration, enabling our clients to quickly unlock the full potential of their data. As we continue to innovate with generative AI, we're witnessing a shift in the market towards more flexible, value-based pricing models. Clients are seeking greater predictability and a clearer connection between their investments and business outcomes, presenting us with an opportunity to monetize the value created by our AI-driven approaches. To align with this shift, we are actively experimenting with new engagement models such as fixed price and output-based contracts, which better align our compensation with the successful outcomes we deliver for our clients. We anticipate a gradual transition to these models over time. With our AI management system, we are unlocking entirely new revenue streams. The large scale of opportunities driving our growth today were not feasible just a few years ago. Clients turn to us for our advanced AI capabilities, which empower them to address their most ambitious and complex challenges, whether it involves modernizing legacy systems, predictive platforms, or creating new AI-native business models. The direct result of our AI value proposition is our ability to consistently grow and capture market share. The value we deliver to our clients translates directly into the strong financial performance we provide to our shareholders. To guide you through our financial profile in detail, I'll now hand it over to Stanley. Thank you, Bruno, and good afternoon, everyone.
Stanley Rodrigues: Let me walk you through our third quarter 2025 financial performance. Our revenue in the third quarter was $127.3 million, an increase of 13.4% compared to the same period last year, fully organic. On a constant currency basis, revenue grew 12.1% year over year. Looking at the year to date, our revenue reached $355.4 million, a 12.8% increase over the nine months at constant currency. As Cesar mentioned, this quarter marks CI&T Inc's fourth consecutive quarter of double-digit organic revenue growth, demonstrating the resilience and solidity of our business model. In 2025, our revenue from Latin America experienced a remarkable 35% year-over-year growth. In North America, revenue increased by 6% compared to the same period last year. Starting this quarter, we are reporting the performance of our Europe and Asia Pacific regions together under the designation New Markets. We are pleased to announce that both regions have recorded sequential growth in the third quarter of 2025. Focusing on industry verticals, we particularly highlight the strong performance in financial services and retail and industrial goods, which grew by 51% and 11% respectively in the third quarter compared to the previous year. These sectors have been actively pursuing digital transformation and modernization. In the financial services sector, companies are increasingly investing in AI-driven analytics to enhance customer experience, streamline operations, and improve risk management. Similarly, retailers and industrial goods are adopting AI technologies to better understand consumer behavior, optimize inventory management, and enhance supply chain efficiency. Our strategic cornerstone for growth continues to be our disciplined land and expand approach. This strategy has resulted in a predictable and stable revenue base characterized by exceptional logo retention and long client tenure. We have 10 clients each generating over $10 million in revenue. This cohort has seen a reported revenue increase of 19.5% in 2025 compared to the same quarter last year. Another solid indicator of our expansion with our large clients can be seen by the growing number of clients each generating $5 million to $10 million in revenue annually, from 11 clients in 2024 to 15 clients in the last twelve months. This illustrates our capacity to compound growth from within our established client base. In 2025, we achieved an adjusted EBITDA of $23.5 million, marking a 7.5% increase from the previous year. The adjusted EBITDA margin stood at 18.5%, reflecting a one percentage point decrease from the third quarter of 2024. This decrease is largely attributed to our anticipated upfront investment in expanding our workforce, with an increase of over 1,100 employees during this period, supporting our pipeline and revenue growth trajectory, combined with an unfavorable FX rate in the comparable period. We've maintained a disciplined approach towards our operating expenses. This is evident in our reduced SG&A as a percentage of sales. For the first nine months of 2025, we generated $46.5 million in cash from operating activities, translating to a robust 72% cash conversion rate from adjusted EBITDA to operating cash. This strong cash conversion provides us with the flexibility to reinvest in strategic initiatives to foster growth. In 2025, our adjusted net profit reached $11.3 million, marking a 10.6% increase compared to the same period in 2024, with an adjusted net profit margin of 8.9%. Our adjusted diluted earnings per share for the quarter was $0.09, demonstrating a notable 16.4% increase from last year. In summary, we have successfully achieved double-digit organic revenue growth on a consistent basis while maintaining solid profitability metrics and strong cash generation. Additionally, we are actively executing our share repurchase program, further enhancing shareholder value. At this point, I would like to invite Cesar back to the stage to share our business outlook.
Cesar Gon: Thank you, Stanley. For 2025, we project revenue to be between $130.4 million and $132.6 million. The midpoint of this range represents a year-over-year growth of 16.8% on a reported basis and 12.5% at constant currency. For the full year of 2025, we are maintaining the midpoint of our revenue guidance while refining our expectations. We anticipate organic revenue growth at constant currency to be between 12.5% and 13% year over year. Additionally, we are reaffirming our adjusted EBITDA margin guidance, which we expect to be in the range of 18% to 20%. This guidance reinforces the strong pace of organic revenue growth reported throughout the year, above the industry average, and positioning us well for continued expansion as we move into 2026. This outlook also reflects the effectiveness of our growth initiatives, a robust commercial pipeline, ongoing expansion with our largest clients, and the evolution of our AI-boosted offerings. In closing, I want to extend my heartfelt gratitude to all CI&T Inc employees around the world. Your dedication to innovation and to delivering exceptional value to our clients remains the driving force behind our progress. This concludes our presentation. We will now open the floor for questions. Thank you.
Operator: Okay.
Operator: We will now begin the question and answer session. I'll announce each participant's name. Once you hear your name, unmute your line and ask your question. Then when you're done, please mute your line. First question comes from Luke Morrison from Canaccord. Hi, Luke. Please go ahead.
Lucas Lincoln Morison: Hey, guys. Nice results and thanks for taking the question here. So I just want to double click on the new engagement model slide that you presented. You know, it first came out at your Analyst Day. You showed it here again. Just maybe help us think, like, how should we be thinking about the scalability of those models from here? Where are you seeing the earliest traction or client readiness, and what needs to happen operationally or contractually for those newer constructs, particularly flow or agent-based consumption, to represent a more meaningful share of your revenue mix over time?
Operator: Thank you.
Cesar Gon: Thank you, Luke. Great to see you. I can start, and Bruno can complement me. As you mentioned, we see the future of our industry evolving from time and material-based pricing models to more value-based pricing models, with a closer link to the business outcome. But we see this happening in a gradual way. So it's also an opportunity to monetize the intellectual property that will be embedded in every single engagement in the future agentic architecture. So what we are doing now is proactively introducing this approach to our clients and getting encouraging results with our main clients. In terms of timeline, I see this as a midterm opportunity. Gradually, we will translate, and this is an amazing opportunity to translate gradually our superior performance into not only margins but also scalability, and also giving our clients a more flexible, more powerful set of options in terms of pricing models. So we are not giving concrete outlook right now, but I think along the next six to twelve to eighteen months, we will have this as a relevant part of our P&L and the way we are seeing the future in our commercial and pricing models. And maybe just to complement, Luke, on your question around the education that clients require on their side to buy those models, right? So of course, the consumption basis is actually where most of the ramp-up of that education needs to happen, and it's not easy. So it's going to go to procurement, and they have to learn a new way to buy, right? So that will take some time to happen. But there are other models that also tap into that ability to automate work, which is kind of output-based models where we can have a fixed price by unit of software developed. We have even fixed price of overall engagements because of the tools that we have that we can map those engagements and can be really assertive in terms of what we will deliver. So there are models that are very easy to buy, that any procurement area could buy just right now. They do not require any education, right? So when there is this new thread here with the consumption-based, with IP-based consumption, that would take some time. But all in all, I think we will move very quickly in the next, to Cesar's point, twelve to eighteen months towards those models.
Operator: Excellent. Very helpful. Maybe just a quick follow-up here. So just regarding your guidance, the guidance for Q4 implies continued sequential acceleration in growth as we exit the year. I know it's early, you're not guiding to next year, but just help us think about the durability of that growth. How do you view the cadence of that sustainable growth as we enter 2026? And are there any factors we should be keeping in mind around seasonality or demand normalization as we enter next year?
Cesar Gon: Sure. We are based on our outlook for Q4, I think, basically on the consistent performance of the nine months of 2025, combined with a very solid commercial pipeline. And what is, I think, a good data point is now we are having a strong sales conversion. I grant this to our differentiation based on our AI strategy, CI&T Flow, the kind of efficiency, and even the whole positioning regarding the adoption of AI. So basically, a consistent track record, a solid pipeline, with a stronger sales conversion when compared to last year, for example.
Operator: Thank you, Luke. Our next question comes from Gates Schwarzman from TD Cowen. Gates, please go ahead.
Gates Schwarzman: Hey. Thanks for taking my questions. Gates Schwartzman with TD Cowen on for Bryan Bergin. Just wanted to touch on gross margin. It looks like it ticked down 30 bps sequentially. Just curious if you could talk a little bit about the underlying trends there. What are the drivers in terms of gross margin? And particularly, how should we think about what levers you guys have moving into fiscal 2026 that you can pull to bode well for margin expansion and support EBITDA growth? Also, any sort of color on the actual underlying FX impacts on EBITDA margin or gross margin would be greatly appreciated.
Stanley Rodrigues: Gates, thank you for the question. This is Stanley here. Well, first of all, Gates, we are very confident in our ability to deliver this full-year guidance of EBITDA margin, so 18% to 20% adjusted EBITDA margin for the full year. We've been delivering those robust profitability metrics out of a bunch of initiatives, efficiency gains. Of course, we are scaling SG&A throughout the years. Every quarter we deliver lower SG&A as a percentage of revenue. And that will not change. We will continue that towards the future, right? So combining that with the fact that we are delivering those robust profitability under this benchmark organic growth path showcases our capacity to balance very well this investment in the AI opportunity and also this cost discipline that we've been managing the company. So we're scaling our business in this very solid manner. And this will not change. Of course, we are not guiding 2026 yet, but we do not have any factor that would mean that this will change.
Gates Schwarzman: Understood. And just a follow-up, wanted to touch on demand trends. Obviously, tariff-related volatility has brought a lot of uncertainty in the environment. Can you touch on maybe how that's impacting your various verticals and then also touch on the US versus Latin America dynamics? Have clients started to gain any comfort with the tariff-related volatility? And subsequently, have you seen any sort of recovery in terms of discretionary spending or smaller, more strategic spend?
Cesar Gon: Sure. Hi, Gates. I can get this one. I think we are growing sequentially in our regions. Of course, Latin America is stronger now, 12.5% growth sequentially, 35% year over year, driven basically by fast AI adoption among not only companies but users. North America is also getting good traction now with 5.4% sequential growth. And even new markets now are growing with 4.8% sequentially. So basically, we see two main sources of demand, and we see the overall environment improving, certainly driven by the evolution of the AI momentum. That is, as I mentioned, very strong in Brazil and more up in the US. And we can see by our commercial activity evolving and giving us a very strong commercial pipeline for next years and giving us a lot of confidence that we will continue in a growth trajectory at a very good pace. But as a way to qualify demand, I see two groups. One is basically a demand for foundational spending, let's say, that's large-scale projects to upgrade legacy technology and accelerate cloud and data migration. I think this is huge now. And, of course, we are extensively using AI and flow agents in this, let's say, foundational engagement. And there is another very welcome source of demand that is direct AI investment. I see relevant budget allocation moving from traditional IT to AI-specific solutions. So around, let's start with the low-hanging fruit of hyper-efficiency in the software development life cycle, but going for customer experience journeys, like how you move for more conversational commerce or AI-boosted chatbots, especially in Brazil, using WhatsApp, for example. And we see more broad programs like AI force transformation engagements. This is when the client wants to design a strategy and a roadmap to accelerate their AI adoption. And finally, we are seeing a growing number of use cases using GenAI to optimize or label-intensive or data-intensive business processes. So it's real. It's an amazing AI momentum, and I think we are very well positioned to continue to capture this opportunity.
Operator: Thank you, Gates. Our next question comes from Maria Clara Infantozzi from Itau. Claudia, please go ahead.
Maria Clara Infantozzi: Hi, everyone. Thanks for the opportunity here. I just wanted to double click on the improvement of pipeline to sales conversion topic. Cesar, can you give us more color on this? Is there any region that is calling more attention, maybe any specific client vertical that is worth highlighting? And what is the pricing strategy behind those new contracts? Are they all coming from output-based, or do you still sell time and material? And lastly, if you could please provide us a view on how you perceive the competitive environment, it would be great as well. Thank you.
Cesar Gon: Sure. Thank you for your question, Maria Clara. I think in terms of vertical, I need to highlight financial services. It's 51% year-over-year growth expansion and 15% sequentially. So it's a combination of landing new clients and expanding our main financial services clients. Also, we see a lot of growth in retail industrial goods, particularly in the auto industry where we are very well positioned and expanding in the US. It's more about expanding our wallet share in this everyday way, do so with a portfolio. And then we also have the good news of tech and telco that were year over year stable, but sequentially now is a 19% expansion. So it's very good news. Other consider our five main verticals, three are expanding and two are stable. We see consumer goods and life sciences stable on a sequential basis. So regarding your question about pricing models, it's a mix. Our strategy is not a radical move from time and material to other models, but to offer our clients a mix of models, and we can combine creatively these models in the best interest of them. So it's more of a mix game of some time and material, some consumption basis, some piece outcome-based, and other models. We are inventing because this is a moment where we are really discovering the best way to play this new game in the AI agent world. So and a lot of engagements also extend from just build for build and run engagements, and we need different pricing models to support this shift. So this is basically, I think, a long-term game. But it's inevitable that AI will reshape the way pricing and business models operate in our industry. And I think it's a major opportunity for us to improve, not only margins but scalability of our business. And your last questions were regarding the competitive environment. Overview, how you see competition? Yeah. I think we did an amazing job over the last three years. Introducing CI&T Flow in July 2023 and transforming every CI&T Inc engagement into an AI engagement. We mentioned a lot the massive reskilling of 8,000 people. And I see CI&T Inc really ahead of our competitors. I know that everyone is trying to figure out how to play in this new moment of the industry. But what we get from our clients is, I think, we are ahead, and in my perspective, we are accelerating.
Maria Clara Infantozzi: Thank you so much for your exercise.
Operator: My pleasure. Thanks, Claudia. Our next question comes from Puneet Jain from JPMorgan. Hi, Puneet.
Puneet Jain: Hey. Thanks for taking my question. Very nice quarter. So this year, you are all set to grow in, give or take, in low teens. Despite significant headwinds like tariffs and whatnot. As we think about next year, I know you're not providing the guidance, but should we expect growth rates to accelerate next year from current levels?
Cesar Gon: Thank you, Puneet. Thank you for your question. Unfortunately, we are not anticipating 2026 yet. But as I mentioned, we are very confident in our future growth based on the evolution of our commercial pipeline and better sales conversion. By now, it's more about delivering a strong Q4, and in the next call, we will be very happy to really give you our guidance for next year.
Puneet Jain: That's fair. And can you talk about your hiring plans? Like, the skills of people you hire, experience level, and should we expect revenue growth to continue to outpace your headcount growth? And what would that mean for margins over the near term at the EBITDA margin level?
Bruno Guicardi: Take this one. Puneet, our strategy has always been to develop our own people. Right? So think of ourselves as a teaching organization, as a learning organization. We're very proud that I think we've learned faster than the average market. I think the achievements around what we are at with Flow and our adoption and the results we're creating for our clients is proof of that. So we continue our strategy to hire from the base of the pyramid and promote from the inside and give opportunities for people to grow with us. Right? So and to invest in our people and invest that give the people the opportunity to develop themselves to, you know, to reskill, to upskill. And to move on to different roles and different profiles. I think that will be an absolutely critical ability going forward as the industry will transform. All those roles will transform. People will do things, you know, in a completely different way. They do now, you know, two to three years from now. So that ability to be always learning and not try to hire for a job description because those job descriptions will be very fluid from now on. It's the ability that we continue to hire for potential, continue to hire for the ability to learn and to grow. That's our strategy, and I think it'll be a winning strategy going forward.
Puneet Jain: Good. Thank you.
Operator: Thanks, Puneet. Our next question comes from Leonardo Olmos from UBS. Please go ahead.
Leonardo Olmos: Hi, everyone. Thank you for taking my question. Congrats on the numbers. Very good revenue beats. Just want to make sure we don't have anything misunderstood here. So you for the full year 2025, you reinforce the midpoint of revenue growth guidance, but you beat Q3's figure. So that could assume, and I'm probably wrong here, but that could assume Q4 is going to be slightly slower than you anticipated. Maybe you advanced some revenue to Q3, I don't know. How should we read this? I know you just said in a previous answer, I'm not going to talk about 2026. I get that, but I just don't want to leave a wrong impression here on this shift between the quarters.
Cesar Gon: Thank you, Leonardo. I think it's basically we are guiding keeping the pace, keeping our goal for the year. Last quarter, we raised the midpoint. So we are, of course, leaving some room to beat again the number, and we are very confident. I think it's a strong year with an amazing exit rate for projecting 2026. So it's basically keeping our pace, making sure we leave room to even accommodate some surprising FX moves. We are not expecting, but we need to be conservative in terms of projecting FX. But at the end, we are really projecting a solid Q4. And, again, a very good exit rate for projecting next year.
Leonardo Olmos: Thank you, Cesar. Just if I could do a second one. It's another question related to how well you did and what's going to be ahead, okay, that is a risk. Top client, right? Top client now when you round up gets to 12% of total sales almost was amazing right. Congrats on that. I'm sure this is something to celebrate because in the past we saw how large clients can impact all IT service peers. So, do you think about that especially about don't know, should we should you diversify, should you not? And how what do you expect in terms of what we heard in the media a couple of months ago that these top clients supposedly are going to reduce third party? Is that other part of third party personnel? It's good. Talk a little bit about top client. Thank you.
Cesar Gon: Sure. I think we are in good shape. Gradually, we have been growing and diversifying our portfolio of clients. I think top one is a massive victor of our value prop. And you saw sequentially it grew 13%. But our top 10 clients are growing consistently too. So we sequentially, 11%. Our top 10. If you exclude top one, it's still a strong 10% growth in our top 10. If you look only at the x top 10, it's a 7% sequentially in growth. So I think it's a very solid evolution. To give you another data point, eight of our top 10 clients are growing sequentially. So regarding specifically our top one, as you know, is a very large financial service organization with dozens of different businesses, and we are very proud to be involved in different parts of their business strategy. And we continue to expand in different areas. I think it's due to our ability to demonstrate efficient, superior results across the board. And we see this engagement will continue to grow, but, of course, at a slower pace. But it's part of what we were anticipating. And we have now a lot of new avenues for growth. So it's part of the game. We work with very large clients, and when they see the concrete results of engaging with CI&T Inc, they tend to concentrate a lot of demand on us. But we manage, I think, in a good way this kind of expansion. So I think we are in good shape. If you look at it in a more long-term perspective, four years ago, we were top 10 kind of 67% of our revenue. Now it's 43%. So it's gradually as we evolve. We will continue to diversify the revenue source, but I think we are in good shape.
Leonardo Olmos: Yeah. No. Very good. Point. The numbers talk by themselves, right? Very good. Just a quick follow-up, sorry to abuse my time. How should we think about revenue in these top one clients or maybe top 10 as a whole? How recurring is it? How can we see it so recurring? I get that you maybe won't grow like 70% year on year, but how recurring is that?
Cesar Gon: Historically, it's very recurring revenue. Annually, we disclose our net revenue retention, and it's always a sound number. I think the business model, the kind of engagement is the same. If you are investing in AI and in digital and you are leveraging real concrete results, you will increase your investment. So it's an equation of success instead of a project-based model. So as we continue to support our clients to expand their strategy, I think we are in good shape to continue expanding, having a very high level of recurring revenue with them.
Leonardo Olmos: By design. Very good.
Cesar Gon: My pleasure.
Operator: Thank you, Leonardo. So that concludes our Q&A session. Thank you all for attending our event today. I'll now invite Cesar Gon to proceed with his closing remarks. Cesar? Please.
Stanley Rodrigues: Sure.
Cesar Gon: Thanks, Bruno, Stanley, Eduardo. You all for joining us today. And to all CI&T Inc employees around the world, I'm very proud of what you accomplished this quarter, what we could do as a team. Congratulations for another record quarter. Let's keep it pushing. And a special thank you to our clients for choosing CI&T Inc in such an important moment in the industry. We are helping you, Mr. Client, to co-create the future in this exciting moment of AI-driven innovation. So everyone stay well. See you soon.